Operator: Welcome to Cisco's Fourth Quarter and Fiscal Year 2021 Financial Results Conference Call. At the request of Cisco, today's conference is being recorded. if you have any objections, you may disconnect. Now, I would like to introduce Marilyn Mora, Head of Investor Relations. Ma'am, you may begin.
Marilyn Mora: Thanks, Michelle, and welcome everyone to Cisco's Fourth Quarter Fiscal 2021 Quarterly Earnings Conference Call. This is Marilyn Mora, Head of Investor Relations, and I'm joined by Chuck Robbins, our Chair and CEO, and Scott Herren, our CFO. By now, you should've seen our earnings press release. A corresponding webcast with slides, including supplemental information, will be made available on our website in the Investor Relations section following the call. Income statements, full GAAP to non-GAAP reconciliation information, balance sheets, cash flow statements, and other financial information can also be found in the financial information section of our Investor Relations website.  Throughout this conference call, we will be referencing both GAAP and non - GAAP financial results, and we'll discuss product results in terms of revenue and geographic and customer results in terms of product orders, unless stated otherwise. All comparisons made throughout this call will be made on a year-over-year basis. The matters we will be discussing today include forward-looking statements, including the guidance we will be providing for the first quarter and full year of fiscal 2022.  They are subject to the risks and uncertainties, including COVID-19 that we discuss in detail in our documents filed with the SEC, specifically the most recent reports on Forms 10-K and 10-Q, which identify important risk factors that could cause actual results to differ materially from those contained in the forward-looking statements. With respect to guidance, please also see the slides and press releases that accompany this call for further details. Cisco will not comment on its financial guidance during the quarter unless it is done through an explicit public disclosure. With that, I'll now turn it over to Chuck.
Chuck Robbins: Thank you, Marilyn. And good afternoon, everyone. I hope you're all remaining healthy and staying safe. Our team at Cisco ended fiscal 2021 with an incredibly strong finish. We had an outstanding Q4 performance and fiscal year revenue reflecting strength across our portfolio, customer segments, and geographies. Our product order growth was the highest we've seen in over a decade and we're continuing to see strong customer reception to the accelerated investments in software and subscriptions. This great momentum is reaffirming our position as the worldwide leader in technology that powers the internet and a digital enterprise.  As I think about our achievements over the past year, three things stand out to me: First, the exceptional execution of our teams. We achieved these results through the extraordinary efforts of our leadership team, our partners, and most importantly, our people around the world, who operated with incredible speed and at an unprecedented scale to deliver this growth. Second, our transformation and strategic investments are paying off. The benefits of our shift to software and subscriptions are clear and they are helping both Cisco and our customers move with greater speed and agility. And third, the power of our portfolio. The groundbreaking innovation we are investing in today will serve as the foundation for our customers' futures.  These three factors position us exceptionally well for growth as we enter our next fiscal year, as evidenced by our results this quarter. We're more confident than ever that we are in a strong position to help our customers be successful. As we look forward, we are laser-focused on providing our customers the technologies they will need to successfully navigate highly dynamic environments at an incredibly rapid pace. With the rise of COVID variance and the inconsistent pace of vaccine deployment around the globe, organizations must be resilient and adaptable as we've seen how quickly the world around us can change. While this may impact certain short-term plans, like a return to the office for many, one thing is clear, there's tremendous demand for Cisco's technology.  No matter how or when the global recovery takes shape, we are executing on our vision of rebuilding a better world, one that is digital, sustainable, inclusive, and highly secure. I believe we're at a pivotal moment in our Company's history as we have a massive opportunity to transform what has been the traditional office and define the future of hybrid work. As our customers look to create safer hybrid workplaces, as well as collaborative, and engaging experiences for their customers and employees, we believe they are becoming increasingly reliant on Cisco technologies to help them with their transformation and resiliency.  Enterprises are increasingly seeking digital and cloud-enabled services, which is driving demand for our solutions and leading to new and expansive market opportunities for Cisco. We're in a unique leadership position to build and deliver innovative cloud-to-edge infrastructure platforms that our customers need. With the depth and breadth of our hardware, software, silicon, and optics solutions, we are helping companies solve their biggest challenges. Whether it's adopting modern application architectures, shifting to hybrid work and hybrid cloud, securing their enterprise, or meeting their ESG goals, Cisco is helping our customers thrive in a hybrid world. These industry dynamics helped drive our strong fourth-quarter performance.  The momentum we saw in Q3 accelerated through Q4 as we delivered robust revenue growth, increased earnings, strong margins, and record operating cash flow. We also generated strong double-digit growth in product deferred revenue, reflecting the success of our transformation around driving subscriptions and recurring revenues which increases our visibility into future performance. We're seeing IT budgets grow as companies begin to implement their critical future plans and business confidence increases.  However, we do recognize that uncertainty remains around COVID-19, and we're closely monitoring the delta variant and its impact on customer spending. Right now, we are not seeing any additional impact on our business, aside from the components shortage we've been facing over the past several months. Moving to the performance of our customer segments. As I mentioned, we delivered the highest product order growth in over a decade with a growth of 31% driven by strength across all of our end markets.  This outstanding performance is also up over 17% from our pre-COVID Q4 levels in the Fiscal year 2019. We saw double-digit growth in every one of our customer segments. This strength is being driven by stronger customer investment in substantial network upgrades to help modernize and secure their environment to support the new way of working. Specifically, in our enterprise business, we had the best quarter in terms of product orders in over a decade and saw a very strong order growth of 25%. We also had our third consecutive quarter of acceleration in our commercial Service Provider and public sector businesses, with all of these segments showing growth in excess of 20%.  In our web-scale business, we saw increased momentum delivering record performance with over 160% order growth. And on a trailing four-quarter basis, orders grew over 80% due to customers adopting products across the portfolio and early traction of our 400-gig Solutions, a huge testament to the investments we have made in accelerating innovation and the differentiated value we're bringing to these customers from a product portfolio perspective, we also had a very balanced performance. As customers prepare for office re-openings and hybrid work, they are increasing their investment across our networking, Cloud Security, and Unified Communications portfolios.  In Q4, we saw double-digit revenue growth in campus switching, Catalyst 9000, high-end routing, wireless, and in our Zero Trust solutions, along with strength in our security endpoint portfolio. We also had a very strong adoption of our Acacia optical solutions driven by increasing customer demand for leading-edge technology to address their growing bandwidth requirements. The transformation of our business to more software and subscriptions continues to show tremendous progress, as we achieved over $4 billion in software revenue in Q4, an increase of 7% sequentially and up 6% year-over-year.  Within that, subscription revenue grew 9% in Q4 and 15% for the full fiscal year. For perspective, Software represented 31% of our business in Q4. And for the full year, when combined with our services business, they represent over 53% of revenue, clearly highlighting the success of our continued business transformation. In addition to delivering strong financial results, our innovation engine continues to accelerate. Over the last year, we introduced an impressive number of new capabilities across our entire portfolio, while also doubling down on more flexible consumption models, including our core networking capabilities as a service highlighted by the recent launch of Cisco Plus.  Our new Cisco Plus solutions deliver cross-portfolio technologies to help solve our customers' biggest needs with faster time-to-value network-as-a-service as-a-service offerings that deliver hybrid cloud technologies and will later expand to a broader catalog of services built and delivered with our partner ecosystem. Cisco Plus improved speed, agility, and scale with on-demand solutions that intelligently adapt to our customers' business needs. While still early days in its launch, Cisco Plus directly aligns with our transformation goals around driving more subscription-based recurring revenue via the cloud.  Our unique strengths improvement strategy gives us the confidence to move at a more accelerated pace. You will see us continue to invest in our key growth areas in technology shifts like hybrid cloud, hybrid work, 5G, Wi-Fi 6, Edge, security, and cloud-native architectures to extend our technology leadership positions. You will also see us deliver even more strategic offers to enable our customers to thrive in a Cloud-first digital world. These include full-stack observability to improve their digital experiences by providing visibility and insights across their entire technology stack and Secure Access Service Edge or SASE, designed to enable seamless secure access to applications anywhere their users work.  Given the momentum we're seeing in our business, we have more conviction than ever that we are investing in the right areas and will continue to extend our competitive advantages and drive growth. Before I turn it over to Scott for more details on the quarter and our expectations for the next Fiscal year, let me give you an update on the supply environment. While we're seeing increasing demand for our technology, we're also continuing to manage through the component shortage challenges that nearly every Company is experiencing our world-class supply chain team, as always, is doing an incredible job navigating this complex situation by working with our global suppliers to meet customer demand as quickly as possible.  Looking ahead, we expect the supply challenges and cost impacts to continue through at least the first half of our fiscal year and potentially into the second half. In summary, demand for our technology is very strong and our strategy is more relevant than ever. This allows us to deliver greater value to our customers, partners, and communities as we all adapt to new ways of living and working. I am very encouraged by the recovery trajectory across the board and with our momentum. I am confident in our strategy and investments. I feel great about the innovation we're driving in our portfolio, and I'm incredibly proud of what our teams and partners have achieved.  I look forward to building on these insights with a more comprehensive, deep dive on our multiyear vision and strategic growth drivers at our virtual Investor Day on September 15th and I hope you'll join us. Thank you again for your time. And with that, I'll turn it over to Scott for additional detail.
Scott Herren: Thanks, Chuck. Our fourth quarter reflects a strong close to our fiscal year with significant momentum across our business. We saw robust customer demand, demonstrating the third consecutive increase in product order growth and solid execution by our teams. I'll provide some detail on our financial results for the quarter, then cover the full fiscal year, followed by our guidance. Q4 was a very strong quarter and a very dynamic environment. We executed exceptionally well, with greater than 30% product order growth year on year, and more than 17% order growth versus our pre-COVID Q4 fiscal 19 product bookings, driven by strength across our portfolio.  In fact, it was the strongest product order growth rate in over a decade. We also had strong results across revenue, net income, earnings per share, and as Chuck said earlier, record operating cash flows. Total revenue increased to 13.1 billion, up 8% year-over-year, coming in at the high end of our guidance range for the quarter. We saw strength in a number of product areas and across all geographies. Our business continues to recover well and build momentum with sequential revenue growth of 3%. Our non-GAAP operating margin was 33.5%, up 50 basis points. Non-GAAP net income was 3.6 billion and non-GAAP earnings per share was $0.84. Both up 5% year-over-year and exceeding the high-end of our guidance range.  Now let me turn to provide more detail on our Q4 revenue. Total product revenue was 9.7 billion, up 10%. Service revenue was 3.4 billion, up 3%. infrastructure platforms performed very well with revenues up 13%. All businesses saw double-digit growth with the exception of the Data Center. Switching had strong growth driven by a double-digit increase in Campus Switching, led by our Catalyst 9K and Meraki Switching offerings. We also had solid growth in our Data Center Switching portfolio with the Nexus 9000 products. Routing grew driven by both the Service Provider and Enterprise markets as we saw strong adoption across our portfolio, including a robust uptake of our Cisco 8000 platform.  Wireless had a strong growth driven by the continued ramp of our WIFI 6 products and our Meraki wireless offerings. Data Center revenue declined driven primarily by servers as we expended -- experienced continued market contraction. Applications were down 1% driven by a slight decline in our collaboration portfolio. However, recurring subscription revenue within our WebEx suite grew 9% in Q4. We also saw solid growth in IoT software, AppDynamics, Cloud Contact Center, and our Cloud Calling platforms.  Security was up 1%. Our Cloud security and Zero Trust portfolios performed well with greater than 20% growth as we had continued momentum in our Duo and Umbrella offerings. Our Security recurring subscription revenue grew 13% in Q4 and 18% for the full fiscal year. In both applications and security, we're seeing strong revenue growth in the strategic areas that we and our customers are investing in. We continue to transform our business, delivering more software offerings and driving growth in subscriptions and recurring revenue. Software revenue was 4 billion, an increase of 6%, subscriptions were 81% of total software revenue up 3 points year-over-year. Software subscription revenue grew 9% in Q4 and 15% for the full Fiscal year.  As we continue to increase our software subscriptions, we're driving higher levels of recurring revenue. Additionally, the strength of our portfolio and transition to more software and services is driving growth in remaining performance obligations or RPO. At the end of Q4, RPO crossed the 30 billion marks at 30.9 billion up 9%. RPO for the product was up 18% and service was up 3%. Approximately 53% of the total RPO is short-term, meaning it will be recognized as revenue in the next 12 months. As I mentioned, we had exceptionally strong order momentum in Q4 as total product orders were up 31% with strength across the business.  Looking at our geographies, the Americas was up 34%, EMEA was up 24%, and APJC was up 29%. Total emerging markets were up 25% with the BRICs plus Mexico up 37%. In our customer segments, the commercial was up 41%, the service provider was up 40%, enterprise returned to growth, it was up 25% while the public sector was up 22%. Non-GAAP total gross margins came in at 65.6% up 60 basis points year-over-year. Product gross margin was 65% up 180 basis points and Services gross margin was 67.4%, down 240 basis points, which was in line with our expectations as we do see variability from quarter to quarter. The increase in product gross margin was driven by productivity improvements from lower freight and other costs, partially offset by relatively modest price erosion.  As we discussed last quarter, we continue to manage through the supply chain constraints scene industry-wide due to component shortages. We've closely partnered with our key suppliers, leveraging our volume purchasing and extended supply commitments as we address the supply challenges and cost impacts, which we expect will continue at least through the first half of our fiscal year, and potentially into the second half. Our number one rank global supply chain team continues to perform at a world-class level. When you look at the impact of acquisitions on our Q4 results year-over-year, there was a positive 210 basis point impact on revenue and no material impact on our non-GAAP earnings per share.  From a cash perspective, operating cash flow for the quarter was a record 4.5 billion up 18% year-over-year, driven by strong cash collections. We ended Q4 with total cash, cash equivalents, and investments of 24.5 billion up approximately $900 million sequentially. In terms of capital allocation, we returned 2.4 billion to shareholders during the quarter. That was comprised of 1.6 billion for our quarterly cash dividend and 791 million of share repurchases. We continue to invest organically and inorganically in our innovation pipeline.  During Q4, we closed 5 acquisitions: Kenna Security, Socio Labs, Slido, Sedona Systems, and Involvio. These investments are consistent with our strategy of complementing our internal innovation and R&D with targeted M&A to allow us to further strengthen and differentiate our market position in our key growth areas. Turning to the full fiscal year results, overall, our financial results were solid in a very challenging global pandemic environment with strong operational execution. Revenue was 49.8 billion, up 1%. The total non-GAAP gross margin was 66.1%, up 10 basis points. And our non-GAAP operating margin was 33.5%, down 30 basis points. From a bottom-line perspective, our non-GAAP net income was flat at 13.6 billion, and non-GAAP earnings per share were $3.22.  We delivered an operating cash flow of 15.5 billion, flat compared to fiscal '20. From a cap allocation perspective, we returned 9.1 billion in value to shareholders over the fiscal year, which represents 61% of our free cash flow. That was comprised of 6.2 billion in quarterly cash dividends and 2.9 billion of share repurchases. We also increased our dividend for the 10th consecutive year in fiscal 2021, reinforcing our commitment to return capital to our shareholders, and our confidence in the strength and stability of our ongoing cash flows. We remain firmly committed to maintaining a strong balance sheet to fuel our organic and inorganic growth initiatives, as well as continuing our cap allocation strategy of returning a minimum of 50% of our free cash flow to shareholders annually.  To summarize, we had a great Q4 and a solid fiscal year, with strong operational execution. We're seeing returns on the investments we're making in innovation, and driving the continued shift to more software and subscriptions, driving more recurring revenue, delivering growth, and driving shareholder value. Now let me provide forward-looking guidance. We're pleased to initiate the additional practice of providing an annual outlook to complement our regular quarterly look ahead for the fiscal year 2022. The successful transformation we've been executing around driving a higher proportion of our revenues from subscriptions, recurring and deferred revenue, is affording us additional visibility into our outlook for future growth. Please note our guidance is subject to the disclaimer regarding forward-looking information that Marilyn referred to earlier.  Our financial guidance for Q1 is as follows. We expect revenue growth to be in the range of 7.5% to 9.5% year-over-year. We anticipate the non-GAAP gross margin to be in the range of 63.5% to 64.5%, reflecting the continuing increase in supply chain costs we are incurring as we protect shipments to our customers. Our non-GAAP operating margin is expected to be in the range of 31.5% to 32.5%. Non-GAAP earnings per share are expected to range from $0.79 to $0.81. Our financial guidance for the full-year fiscal '22 is as follows.  We expect revenue growth to be in the range of 5% to 7% year-on-year. Non-GAAP earnings per share are expected to range from $3.38 to $3.45, also up 5% to 7% year-over-year. In both our Q1 and full-year outlook, we are assuming a non-GAAP effective tax rate of 19%. Looking ahead, we're excited to host a Cisco virtual Investor Day on Wednesday, September 15th, 2021, which we will webcast live, and hope you can join us. I will now turn it back to Marilyn so we can move into the Q&A.
Marilyn Mora: Thanks, Scott. Michelle, let's go ahead and queue up the Q&A line.
Operator: Thank you. Samik Chatterjee from JP Morgan, you may go ahead.
Samik Chatterjee: Hi. Thanks for taking my question. I guess, Chuck, Scott, just wanted to get your thoughts on getting -- in terms of the timing of getting a full-year guide out here. I would think other companies would have said, with the supply chain uncertainty, "This is probably not the right time to get a full-year guide out," so definitely appreciate the full-year guide. And I wanted to understand, what's providing that higher visibility? You mentioned the transformation, but also how are the orders feeding into that visibility, and what are you kind of baking in terms of the supply chain in that full-year guide? Overall, how much of -- what you're baking in terms of headwinds into that full-year guide from a supply chain perspective. Thank you.
Scott Herren: Yeah, that's a great question, Samik. Thanks for that. It really is one of the benefits of the transformation we're making. As we move to more and more software and services and a recurring revenue base, we have greater visibility.  One of the stats that we just talked about is our remaining performance obligations of 30.9 billion of which 53% that will turn into revenue in the next 12 months. We also have a good feel for what other renewals are going to come up and what our renewal rate is as we work our way through this.  So, we have a pretty good sense of a big chunk of our revenue and how it's going to grow. We also have a good view of pipeline and what that looks like ahead, and one of the things that I would say about that pipeline is it's one of the -- we've seen year-over-year growth in the pipeline for Q1 better than we've ever seen in the last several years.  So, we see good growth in the pipeline as well. So, it's when you add all that up, that's what gives us the confidence to give a full-year guide. What I would say is that -- to your question about supply chain and what's the assumption on supply chain, the way to think about that as that's the difference between the high-end and the low-end of the guide. We expect the supply chain to impact us through the first half of the year.  And then at the low-end of the guide, we think we continue to have supply-chain impacts through most of the second half as well, with some clear up at the end. At the high-end of the guide, we think that we've begun to clear up the supply chain issues, supply and demand come back more into balance earlier in the second half. That's why we gave the full-year guide. I think -- certainly, we have the confidence with the visibility we have, and what's baked into that based on some of the uncertainty. It's still out there with the supply chain.
Samik Chatterjee: Thank you.
Marilyn Mora: Thanks, Samik. We'll take the next question, please.
Operator: Meta Marshall from Morgan Stanley Investment Research, you may go ahead.
Meta Marshall: Great. Thanks. Maybe coupling onto that question, just how should we think about kind of the incremental 150 basis point sequential gross margin decline in the guidance and just how much of that is incremental supply chain impact, and would you expect to abate that through either price changes or supply chain improvement to improve that throughout the year? Thanks.
Scott Herren: Yeah. Thanks, Meta, for that. When you look at the Q4 gross margin, obviously it came in better than what we had expected and what we had guided to, and there was a really favorable product mix built into that, some of that being driven by a good quarter for software as you heard on the call earlier.  Looking ahead, we've taken several steps to ensure that we can continue to have supply and deliver products to our customers. They are in the midst of their own transformations, they're all in the midst of doing the things they have to do to adapt to a world that's not only a hybrid work world but one, with the rise of the delta variant, that -- it's added
Scott Herren: complexity. It's not a, "Hey, the world's going to go back to normal at some point." It's, "I need to continue to have this flexibility ahead." We're trying to support that and at the same time, there are supply and demand imbalances and some of the key components around semiconductors and memory and some of the same things you hear from others of our peers.  That turns into higher component costs as we buy from those suppliers. We're also to ensure even greater supply going to brokers to get additional supply from versus what we can get directly from our suppliers. And in some cases, qualifying second sources where we have to. Each of those, obviously, drives costs and it takes a while for those costs -- We've been in that process through Q4, and we'll be in it through Q1.  It takes a while for those costs to flow through our standard costing system and show up in the cost of goods sold. There's a little bit of unfavorable product mix headwind as well in Q1 as we have a good sense of the products that don't have those same impacts that we will be able to ship, that are sitting in backlog, so that's what's driving that sequential change.  As you know, we did put in place a price increase; very selective, very targeted, only on the products where we were seeing the higher component costs. That went into effect August 7th, but we always honor quotes that are out there for 30 days, beyond that price because it goes -- maybe those quotes were produced before the price increase was put in.  So, scroll 30 days ahead from August 7th before the first orders come in with those higher prices, and then it takes a while for those orders to come in, get built, and shipped back out to customers and for us to realize the benefit of that on the top line. Think of those price increases as being something that we'll feel more of the benefit of in Q2 and Q3 versus what we see in Q1.
Meta Marshall: Great. Thanks.
Marilyn Mora: Thank you. Next question, please?
Operator: Paul Silverstein from Cowen, you may go ahead.
Paul Silverstein: I appreciate Scott's pick-up on the previous two questions. If I look at your annual guidance, it's strong revenue, it's almost a billion above the consensus number. The EPS is more in line, it's slightly light but not meaningfully.  But the difference obviously is gross margin and or OpEx. I appreciate that COVID has elevated your cost structure, as well as all of your peers. Can you give us any granular insight in terms of translating the revenue upside that you're looking at that you're expecting relatively to the more modest EPS outlook for the year in terms of gross margin versus OpEx?
Scott Herren: Yes. Paul, it really is gross margin driven. And there's still -- there continues to be uncertainty on when the supply and demand get back into balance on many of those components. That's why you see the range that we put out there at 5% to 7%, and that ripples through to the bottom line as well.  I think that the only other comment I'd add on that front, I don't want to get into parsing it down to the various elements, at least at this point, but there's still uncertainty, and given that uncertainty, and this being the first time we've given you annual guide, it's prudent. We're trying to be prudent with the guide we've put out there as well.
Paul Silverstein: Scott, with respect to OPEX. It is your plan to grow OpEx more modestly than revenue? You're going to -- you're looking at some pretty healthy revenue growth this year. Would you restrain your Opex growth below revenue to try to drive some leverage?
Scott Herren: Yeah. I'll start, and Chuck, you may want to add to this. The way that you see the guidance laid out, 5% to 7% growth on the top line and 5% to 7% growth on the bottom line, we are looking at balanced, profitable growth, and I think that's the way you should expect us to run the business going forward, is balanced profitable growth.  5% to 7% on both the top and bottom line is a pretty strong performance, certainly relative to where we've been over the last few years. And so again, I don't want to get into -- Paul, I know what you're poking at. I really don't want to get into parsing down the elements of that, but the core principle is balanced profitable growth.
Chuck Robbins: Paul --
Paul Silverstein: Can I ask --
Chuck Robbins: Go ahead, Paul. Go ahead.
Paul Silverstein: Just one last question on this. Is there any reason why your cost structure from a gross margin perspective -- we envision going back to the 21st Century and getting beyond COVID? Is there any reason why your gross margin structure would not go back to where it was if not better, I recognize you've got mixed in other factors that influence one way or the other from quarter to quarter, but as a general proposition, should we expect the gross margin structure will return to what it was pre-COVID?
Scott Herren: That is our expectation, Paul. Over time, I mean, again, I don't want to predict that for this fiscal year, just given some of the uncertainties in the supply chain, but it is our expectation that it gets back there and over the longer term as we continue to build a bigger mix of software into our revenue stream, that should also provide a bit of a tailwind to our margins.
Paul Silverstein: I appreciate it.
Marilyn Mora: Thanks, Paul. Michelle, next question.
Operator: Aaron Breakers from Wells Fargo. You may go ahead.
Aaron Breakers: Yes. Thanks for taking the question, and congrats on a good quarter. I wanted to ask the supply chain question a little bit differently. As you see the order momentum in the pipeline build commentary that you laid out, obviously, is quite positive. How are you assessing the perishability of demand? Are you seeing any signs where customers might be double ordering, or how do you just think about that in the function of the guidance that you've laid out?
Chuck Robbins: Aaron, this is Chuck Thank you for that. Look, we expected to be asked about pull-ahead. I think there's a couple of things that I would say, we obviously can't calculate that directly.  We've looked at several indicators; our pipeline analysis, channel orderings, our salesforce opportunity movement, order cancellation rates, future pipeline build, and we don't see any signs of ordering well ahead of needs other than lining up with what our lead times are. And we have customers that are large carriers, large telcos, Cloud players, who have 12, 18, to 24-month capacity plans.  And so, they look at our lead times and they are going to order into that based on what they have, but we would not say there was a significant amount of pull ahead of other than dealing with the lead times.  The other thing that I would just highlight is that Scott pointed out earlier, after the real strong order growth we saw in Q4, we're sitting with the best start from a forecast pipeline perspective that we've had in several years. That would lead us to believe that this is a trend that we should see to continue for a little while.
Aaron Breakers: Great, thank you.
Marilyn Mora: All right, great. Next question, please?
Operator: Thank you. Tim Long from Barclays, you may go ahead.
Tim Long: Thank you. Could you just dig into the software angle a little bit? Numbers seem pretty strong, yet the applications and security lines trail a little bit on the product side. So, could you just parse that through for us? And then, second, just did want to follow up on that cloud piece that was so strong in the quarter. Chuck, any other color you can give on that? It sounded pretty broad-based, but I'm assuming some of your peers also, to the last question, saw a little bit more advanced, longer lead time orders, or is there anything else in that huge cloud number? Thank you.
Chuck Robbins: Thanks, Tim. So, on the Applications front, we expected that you guys might want to ask about that and there's a couple of things to keep in mind in both Applications and Security. The order rates were certainly higher than the revenue rates, so that's the first thing I would tell you. The recurring subscription portions within each of those businesses were also very positive. As Scott said, in Security within Web -- I mean, in collaboration within the applications WebEx suite, the recurring subscriptions within WebEx suite revenue was up 9% in Q4, 16% for the year. We had solid growth in IoT, [Indiscernible] Cloud Contact Center, and Cloud Calling.  What's also in there, if you will recall, is there are phones and handsets, and there's some on-prem software that's associated with collaboration. And some of those were impacted by the supply chain. But the future growth areas actually for us looked really good. On the security front, Cloud Security, Zero Trust over 20%. The Security recurring subscription revenue was up 13% in Q4, up 18% for the year so that was solid as well.  And again, our Next-Generation Firewall demand was really good but some of the legacy products in the supply chain created a little bit of a revenue headwind there. But again, orders were stronger than the revenues. We would expect those to normalize over the next few quarters. As we get to Web scale, this is I have to tell you that preparing for this call, I reflected over the last 5, 6 years of having this discussion.  And I always said that we would start talking about web-scale when it was meaningful, and I guess I can now declare it meaningful. We made multi-year investments building the Cisco 8000 with new silicon, optics, and software, and we had phenomenal growth. And it was a 160% order growth this quarter, over almost 30% order growth a year ago in the same quarter. And the customers are really adopting our entire portfolio, including the enterprise side, but over half of that business landed in their cloud infrastructure.  We also see 400G taking off, really, in a meaningful way, I'll give you a couple of stats on that because someone's probably going to ask it. In Q4, 400G ports, our orders were up 668%, and for the year, 400G port orders were up 831%. We have over 400 customers that have deployed and we've taken orders for almost 180,000 ports total. So, it's really moving forward, and I think those are the things that -- we won several franchises in the cloud Web scale space, we continue to do proof of concepts, we're in validation and certification stages in others. So, we always said that we missed the first transition with these players and that we wanted to be prepared for this next architectural transition and I think our teams have done a great job putting us in a good position.
Tim Long: Okay, thank you very much for the color.
Marilyn Mora: Thanks, Tim. Next question.
Operator: Thank you. Rod Hall from Goldman Sachs. You may go ahead, sir.
Rod Hall: Great. Thanks for the question. A lot of ports, Chuck. A lot of ports. So, I had two questions for you. One is regarding the order growth. I'm curious about linearity there. That last time we talked, the handle on that was back in 2010 when you guys are exiting the GSD, but it seems like those orders could accelerate from here, and I'm curious whether you think that's a possibility or how probable an acceleration is from that 31% growth rate? And then I wanted to come back to this pricing commentary, and I'm curious what the durability of these prices is. What your intention would be once the component cost, these underlying costs go down, will you flex these prices right back down again or do you expect them to sustain themselves a little bit longer? Just curious what your plan on pricing would be as these underlying costs change. Thanks.
Chuck Robbins: Let me start and I'll let Scott comment on the pricing issue as well. You asked a couple of questions there, Rod. On linearity just to give you the quarter, it started hot and ended hot. It was from day one to the end, so this was not like we were 5% growth until the last month, and then it accelerated. It was pretty consistent throughout the entire quarter.  You mentioned the ability to accelerate. I certainly wouldn't expect 31% order growth to be the new standard, but I think that there are certainly going to be -- it just feels like our customers are dealing with -- they're coming out, they're making decisions about modernizing their infrastructure, and their technology assets to deal with this new hybrid work.  And I think now what they're seeing is, that with the Delta variant, they're understanding that this may not be a one -- this may not be one move back to the office. This is going to -- they have to -- they're going to have to be resilient, they're going to have to build adaptability in for future because we could have the next variant six months from now.  And I think that's what customers are thinking through right now. The comment I'd make on pricing and then I'll let Scott talk about the durability of them is, one thing that as we talk about gross margin in the quarter we just finished, the pricing element of gross margin was actually at the very low end of our normal range, which means we're holding pricing with our sales teams, which is a good sign right now. So once these things start flowing through, if that trend continues, then we would certainly see the favorable impact that we expect. Scott?
Scott Herren: Yeah, I think that's right. I think, Rod, the other way that I would ask you to think about the price increases we just announced on August 7th, those are really -- they're not motivated by driving top line as much as they're motivated by offsetting some of the cost increases, we're seeing.  Now, there's a lag effect, right? It's going to take time before we see those prices show up actually in our revenue stream, but they are really motivated by that. And so, we'll continue to assess as we always do, if we need to make another price adjustment, up or down. We'll continue to make those assessments going forward.  Don't think about them as being motivated, though, by top-line drivers. It's really motivated by offsetting some of the higher costs that we're seeing. But the other thing I would just close on this one is that we have a price increase methodology that we deploy on a regular basis for different portfolios. We just don't talk about it on our earnings calls every time, but this is a muscle we have that we actually use on a fairly regular basis when the conditions warrant it.
Rod Hall: Okay. Great. Thank you.
Marilyn Mora: Next question, please.
Operator: Thank you. Sami Badri from Credit Suisse. You may go ahead.
Sami Badri: Thank you. My first question is on your gross margin s and just the cost of products and the question really is just around how much of these cost inputs can Cisco control versus how many of them are not controllable at all? So that's the first question. And then the second question is, going back to some of your wins with the Series 8000, how much of these wins are completely new deployments versus you going head-to-head with an incumbent or going head-to-head with other competing vendors for those deployments, right? Or existing replacement or new deployments, and that would be great. Thank you.
Chuck Robbins: Sure. Sami, I'll start on the cost of goods sold. It's overwhelmingly driven by the component costs and the contract manufacturing costs to do the various levels of assembly inside there versus something that we have the ability to flux -- to flex up or down. I would think of that as being significantly driven by some of the factors that we've talked about with the imbalance of supply and demand.  And Sami, on your second question, it's really difficult to say which ones are new, which ones that we compete with an incumbent. But I will tell you we're in -- we're competing with incumbents on every one of them because even if it's a new architecture they are building, they have incumbents who are certainly competing with us.
Chuck Robbins: These are all super competitive and our teams have built some great technology. And so, it's -- and the cloud providers, they like diversity in their supply chain. They like diversity from a supplier perspective, and one other data point I meant to give earlier when Tim asked about the cloud business that we gave on the call last time, I want to make sure we share with you again, Web scale comprised 30% of our Service Provider segment from an orders perspective for the quarter.
Sami Badri: Got it. Thank you.
Marilyn Mora: Thanks. Chuck, next question?
Operator: Simon Leopold from Raymond James, you may go ahead, sir.
Simon Leopold: Thank you very much for taking the question. I think you've alluded to 31% order growth not being sustainable. Can you give us some idea of what you see as really the sustainable or more normalized level? And also, if you could comment on your purchase order commitment because I've assumed that the substantial commitments you've made help you lock in and secure pricing when you made those commitments and represents, I guess, a way of controlling the headwind as we think about the full-year model. I want to make sure I'm understanding that correctly. Thank you.
Scott Herren: Sure. I'll start on the second part of that and then I'll let Chuck weigh in on the order growth. Clearly, as we locked in some of that -- some of the work that we did on supply and particularly going after components that are particularly at an imbalance between supply and demand, we locked in both. We looked at both for costs that would come in for that and what the committed delivery schedule was on those.  We have a good sense of that for a subset of our components. There's still going to be fluctuation in some areas, memory is a good example, there's going to continue to be fluctuation in pricing and we'll continue to monitor that.  You saw us -- you've seen us in the past, make price adjustments based on memory cost increases, and I would expect that to be kind of an ongoing process there. But for the ones that we locked in, which were the -- I think the ones that are -- that had the greatest imbalance and the highest demand, both for us and for our competitors, we locked in both from that standpoint.
Chuck Robbins: Yes. And on the side of the order, that's a difficult question to answer. What I would say is that this is the first time we've given long-range guidance or annual guidance on both revenue and EPS. We have Investor Day coming up on the 15th where we're going to talk about the key growth drivers in our business and we're also going to begin to share new metrics that will give you a flavor of the business in a different way.  So, I think that's what as we spend time on that day, I think the drivers of growth will be clear to you, and I think that bookings will only be one metric that we'll look at, relative to future performance.
Simon Leopold: Thank you.
Marilyn Mora: Next question, please.
Operator: Fahad Najam from MKM Partners. You may go ahead, sir.
Fahad Najam: Thank you very much for taking my question. In terms of the order strength, do you have any way of parsing out any double ordering or forward pull-in orders from your customers, and have you adjusted for that? And I have a follow-up.
Scott Herren: So, Fahad, as I was saying earlier, what we've looked at is, we've compared a lot of the -- our pipeline pulls ahead activity, we've looked at our future pipeline, we looked at order cancellation rates, and we just don't see anything.  So based on what we know now, we certainly think customers are placing orders further in advance because of lead times, which is just logical, but that's basically -- when you see the order growth, we saw in Q4 and then you see the forecast pipeline that we see going forward, it would suggest that there's still a fair amount of demand out there.  Fahad, we're staying on top of that as much as possible as you can imagine, and Chuck talked earlier about some of the data points we're looking at to try to get a feel for it. Order cancellations would be one indication of double ordering from us and another party.  Order cancellation rates have actually come down modestly. Return rates, looking at the pipeline and the pipeline growth, we're not seeing it at any material level. I think the other thing, the other data point we gave is the growth of commercial.  So, if you look at the orders, the overall order growth, Commercial is up 41%. And I think where you might expect to see some of what you're talking about is actually in the Enterprise segment or EPS. We saw significant growth in Commercials and I don't think you'd expect to see as much of that kind of a double ordering process happen in that customer size.
Fahad Najam: I appreciate that. Chuck, if I could ask you big picture questions. Before COVID-19 happened, I think you had mentioned that for the first time, virtually every product line in Cisco's family of products had been repriced.  To the extent, how much of the strength you're seeing the function of the product refresh cycle that is taking place across all your product lines versus total new growth? For example, like Edge Cloud, which I think is going to be a totally new network of growth architecture that's never been deployed before, so it's like the new phase of growth.  How much of the strength you're seeing in the function of this refresh versus a new phase of growth in [Indiscernible]?
Chuck Robbins: What I would say is there are several transformations that are occurring or transitions that are occurring across our customer base that we're just well-positioned for. If you think about what's happened with 5G and WIFI 6, this whole move now to hybrid work, the whole re-architecting of infrastructure to support Hybrid Cloud, this 400 Gig transition that we spoke about earlier, these are all things that we have been working on our portfolio.  So, I think the refreshed portfolio and the new innovation that has been brought forward is just timely because we're on the front end of some of these big transitions that we've been talking about for several years. So, I think that's really what's driving it.  The teams have -- at the Investor and Analysts Day, on the 15th of September, we're going to have our engineering leaders talking about what all they've done, and what the future looks like, and what the innovation pipeline looks like. And I feel really good about what they've built, but we have a lot of plans for new technology and new capabilities.
Fahad Najam: I appreciate the answer, thank you.
Marilyn Mora: Thank you. Next question, please.
Operator: Jim Suva from Citigroup Global Markets, you may go ahead, sir.
Jim Suva: Thanks very much. It's Jim Suva. I had one question. The long-term full-year outlook of sales and EPS is greatly appreciated, and I noticed that's a big difference and shows a lot of conviction. But on the EPS, normally you also have some stock buyback going in. But some companies include stock buyback in their EPS guide, some don't.  So, what I'm wondering is, on your EPS guide, does it include some normal stock buyback? I know this year was different when you bought Acacia for about 4.5 billion and COVID, but I wondering, how we should think about that EPS. Does it include stock buyback or what are the components of the EPS growth that match sales growth?
Scott Herren: Great question, Jim. It only assumes that our share buybacks offset dilution. So, think of that as you're doing your own modeling, think of the share count to be roughly flat to where it ends this year.
Jim Suva: Got you. Thank you so much for the clarification. It's great to hear all the details.
Scott Herren: Thanks, Jim.
Marilyn Mora: Thanks, Jim. Next question.
Operator: Jeff Kvaal from Wolfe Research, you may go ahead.
Jeff Kvaal: Thanks very much. I am hoping to get a little bit of clarification into the software growth trajectory. It sounds like it's a great year overall, and the fourth quarter maybe didn't close as well as you'd like, and if we can talk about the trajectory, we should expect for Software growth in 2022, that would be splendid.
Chuck Robbins: I'll start with some color, and then, Scott, you can chime in. I think we continue to add more software capabilities across the portfolio. We continue to transition. We've, we've transitioned a lot of our portfolio to subscription-based even for the hardware side of the business. Most of the acquisitions that we do come in subscription or SaaS software businesses. So, we would expect to continue just this move towards it becoming a greater percentage of our portfolio.  In the next couple of years, we think we also will see some of the renewal volumes will start kicking in on top of it as well, but it's already -- the transformation has already made a big difference. Scott, and I we're looking at last quarter when we did guidance for Q4. having the software revenue that came off the balance sheet significantly altered positively what we were able to guide from a revenue perspective in Q4 versus what we would have done 5 or 6 years ago.  It was meaningful. And so, we're going to continue to invest in this capability, we are going to continue to drive software. It's a hugely important part of the business, the teams have done a great job, Scott?
Scott Herren: Yeah. Jeff, what I'd say is at 4 billion of software revenue over the last 90 days, we're one of the biggest software companies in the world. I mean, annualize that or look at the trailing 12 months, makes us somewhere in the top 10 in software companies in the world. We posted 6% overall growth and 9% growth in subscriptions even off that base. So, I think the software business is actually doing quite well for us.  What's underneath your question is that what you saw on applications, I'll go back to what we said earlier, about what's happening in Applications. Underneath that, you got to remember that includes the entire collaboration portfolio, so not just the software pieces and not just the recurring software pieces, there are hardware elements there, there are some legacy on-prem elements there, both of those were headwinds.  In the subscription software revenue piece of both Applications and Security, we saw double-digit growth. We had nice growth year-on-year for the full year in both of those. So, I actually feel good about where we're headed on that.
Jeff Kvaal: Great. And then a quick clarification. Do you all plan to update the annual guidance every quarter for us?
Scott Herren: We will assess it every quarter and update it as needed. I -- the big variable in there, of course, is what happens with the supply chain and when do we start to see a little more balance come to supply and demand across some of our key components. And I think that will -- that will dictate when we've got a good view for updating.
Jeff Kvaal: Thank you both very much.
Scott Herren: Thanks, Jeff.
Marilyn Mora: Thanks Jeff, and we've got time for one more question.
Operator: Thank you. Ben Bolan from Cleveland Research. You may go ahead, sir.
Ben Bolan: Thanks for getting me in at the end. I also want to focus a little bit on software. A few specific items. First, I'm curious how you think about your average contract duration and what you're seeing on average invoice duration as you shift more to software and any high-level implications you see for cash flow over time? The second item is I'm curious if you've seen any trends with early renewals from the early DNA customers, what's happened at those renewals? And then the last piece, how do you think about longer-term, making sure you're driving good utilization and consumption of the software licenses within the customer base? Thank you.
Chuck Robbins: You want to take the first?
Scott Herren: Yeah, okay. You managed to get in three there, Ben, on the one-question limit. I'll talk a bit about duration first. You see in our remaining performance obligations, you see the nice growth, 30.9 billion in total RPO is a record for us. What I'd say is underneath there, the short-term is about 53% of that.  They're growing, somewhat balanced, slightly more growth in the long-term than in short term, but that's what you'd expect given that many of them -- remember the short term is just the next 12 months, so the first year, the long term is anything beyond that. So, it's not surprising to see long-term growth a little bit more.  We're not seeing a big change in duration overall. And maybe I'll go ahead and hit the last one, Chuck, and then leave the DNA question for you. As we look at the renewal rates and the actions we have to take, our renewal base is obviously growing and becoming much more important to us ahead. And obviously, renewals are dependent on adoption.  We've put in place very specific processes to understand where our customers are on usage and on adoption. And you've got to -- if you don't drive the adoption, you don't get the renewal. And so, we're attacking it at that level. I think the team's done a nice job getting some headlights on that, some early warning, and getting ahead of ensuring that we actually get the adoption we need.
Chuck Robbins: Yeah, that's connected to the DNA renewal thing because we actually have Customer Service -- I mean, Customer Success Specialists that are in the field that are working with customers every day, we've got virtual teller inside the organization also doing Customer Success, so the adoption piece is really important.  As it relates to DNA, then -- we've had sort of a handful in the first half of this year of those renewals that will come through, there's a little bit more in the second half and then fiscal '23 is where it's actually a much more meaningful number.  And our teams have been working on the underlying processes, the metric. the process, the systems, measurements, and the engineering teams have been working really hard on continuing to evolve the offer to ensure that there's enough innovation going forward that will optimize our opportunity on the renewal side of it. It's a bit early and I'd say maybe the second half of next year we can get -- or this fiscal year, we can give you a little more on that. And then, into fiscal '23 is when it's a decent size number.
Ben Bolan: Thank you.
Marilyn Mora: Great. Thanks, Ben, for the question. And Chuck will want to come with some closing remarks or I can close it up?
Chuck Robbins: I'll close it now and head it to you. I'm really proud of our team. I'm really proud of the performance, and we're certainly pleased with the demand that we've seen. I'm super happy with the transformation, we believe our investments are paying off, our software business, the work we're doing with the web-scale and the cloud providers, and across the portfolio.  I think our technology will help our customers deal with this emerging focus on resiliency and agility and adaptability, and then most of all, I want to thank our teams for the incredible execution, not only in Q4 but over the last 12 to 18 months during a very complicated time. And I'd like to also just remind you and encourage you all to join us on September 15th for Investor Day. Thank you.
Marilyn Mora: Thanks, Chuck. So, Cisco's next quarterly earnings conference call which will reflect our fiscal 2022 first-quarter results, will be on Wednesday, November 17th, 2021 at 1:30 PM Pacific Time, 4:30 PM Eastern Time.  Again, I'd like to remind the audience that in light of Regulation FD, Cisco's policy is not to comment on its financial guidance during the quarter unless it is done through an explicit public disclosure. We will now plan to close the call. If you have any further questions, feel free to contact the Cisco Investor Relations group, and we thank you all very much for joining today's call.
Operator: Thank you for participating in today's conference call. If you would like to listen to the call in its entirety, you may call 1800-388-4923. For participants dialing from outside the U.S., please dial 1-203-369-3800. This concludes today's call. You may disconnect at this time.